Michael Hagmann: Good morning and a warm welcome to the Siemens Energy Q4 Analyst Call. All documents were released yesterday evening on our website. I'm very pleased that our President and CEO, Christian Bruch, and our CFO, Maria Ferraro, are here with me. As always, Christian and Maria will take you through the major developments during the quarter and the fiscal year. They will also provide you with the new guidance and the headline medium term targets before they will give you further insights into the market trends and how they expect the individual businesses to perform over the coming years. That should take approximately 45 minutes. We have approximately 45 minutes for Q&A thereafter, so that in total, the call shouldn't take more than one and half hours. A recording of today's conference call will be available shortly after the conclusion of the call and for -- the conference call is also being webcast for those who have just dialed in through the telephone at the moment. You can actually click on our website on www.siemens-energy.com/investorrelations to get onto the call. Before I -- before we begin, I would like to draw your attention to the Safe Harbor statement on Page 2 of the Siemens Energy presentation. This conference call may include forward-looking statements. These statements are based on the Company's current expectations and certain assumptions and are therefore subject to certain risks and uncertainties. Before we start, let me remind you about the process for the Q&A session. [Operator Instructions] And with that I hand over to Christian.
Christian Bruch: Thank you very much, Mike, and also from my side a very good morning. Thank you very much for joining our call today. And as Michael indicated, we would like to do it a bit in two sections. First of all, Maria and myself will go through the usual reporting and then thereafter we will address on how we want to deliver mid-term in the different business and how we execute our strategy going forward. First of all, I'm pleased to say that we not only delivered strong growth and significant margin expansion, but that we have reached the top end of our guidance for fiscal year '24 for all the key KPIs and even after raising our guidance in quarter two of this fiscal year. Cash flow came in very strong and we generated more than EUR900 million of free cash flow in the quarter. We booked EUR50 billion of orders and again finished the year with a record order backlog with significantly better margin quality. This means that we have built the case for strong growth and rising profitability for many years to come. Electricity demand growth remains strong, driving investment in infrastructure, especially in power grids. The rising demand related to the build-out of data centers provides further upside for our products and I will elaborate more on the drivers and what it means for our business areas in the mid-term as we go through the presentation. Our guidance for fiscal year 2025 and our new mid-term targets for fiscal year 2028 reflect the positive momentum at Gas Services, Grid Technologies, and Transformation of Industry as well as our commitment to break even at Siemens Gamesa in fiscal year 2026. For fiscal year 2025, we expect the revenue growth between 8% and 10%. This will mainly be driven by Grid Technologies and Transformation of Industry, but based on the good backlog, we now also expect Gas Services to grow. We expect a profit margin before special items of 3% to 5%, which represents an improvement of 2 to 4 percentage points compared to prior year '24. All business areas will contribute to this improvement. Net income this year is expected positive due to gains. Without these gains, we still expect at least to be break-even. Cash flow before interest and tax, we expect to reach up EUR1 billion -- sorry, up to EUR1 billion. Maria and I will provide more details around the mid-term outlook of the businesses later, but let me highlight the key targets we want to achieve in the mid-term. We defined mid-term as the period up to and including the fiscal year 2028 to make it comparable to the targets we set at the Capital Market Day back in November 2023. In fiscal year 2024, our performance was better than we expected due to the performance in our factories and better project execution. And because of this improvement in our operational performance, we pulled forward the fiscal year targets 2026 for Gas Services, Grid Technologies, and Transformation of Industry by one year. In addition, our orders were higher and better than expected, leading to a very healthy order backlog with better margin quality, which means we can also upgrade our expectation beyond the current fiscal year. Given the better operating performance and the better backlog, we are now targeting group margins between 10% and 12% by fiscal year 2028 compared to 8% or higher before. Our new target growth is between high single and low double-digit margin. It is roughly double what our previous expectation was. Let me give you more details on last year's performance starting with growth. Growth was strong with 12.8% and exceeded the top end of our revised guidance of 10% to 12% by 80 basis points. It also exceeded the midpoint of our original guidance of 3% to 7% by almost 8 percentage points. A stronger-than-expected growth shows that we have been able to transition from restructuring mode into execution and growth mode in the company within a relatively short period of time. This strong growth shows that the energy transition is driving our business across the entire portfolio and that our profit margin before special items of 1% was in line with the top end of our guidance. This represents a significant improvement compared to the previous year. However, the level is in no way satisfactory because the losses at Siemens Gamesa overshadowed the improving performance in the other businesses. Grid Technologies, Gas Services and Transformation of Industry with its part, particularly on steam generators and compression have gone into growth and execution mode and delivered decent margins and we expect more to come. Even though Siemens Gamesa came out slightly better than we anticipated at the beginning of the year, EUR1.8 billion of losses mean that there is still a lot of work to be done by Vinod and his team and they are driving that. Net income of EUR1.3 billion compares to our expectation of up to EUR1 billion, which included gains from the proceeds of our divestments. We exceeded our target as we started to realize some of the tech synergies through the full integration of Siemens Gamesa into the overall company structures. Cash flow was once again much better than expected, driven by higher-than-expected profitability and stronger order intake. And with this, we ended the year with a record net cash balance. Let me, like always, turn to some examples to highlight milestones in the different business areas. And let me kick it off with a project in Saudi Arabia where we received an order to deliver three highly efficient F-class gas turbines, a steam turbine, and four generators with a total capacity of 1.2 gigawatts. This installation will replace oil-based generation and thus also reduce the CO2 emissions in the power generation and obviously help the kingdom to significantly reduce its carbon emissions. At Siemens Gamesa, we inaugurated the factory for 14 megawatt offshore wind turbine in Taiwan. That is our first factory for this type of turbine outside Europe. And the new plant will be instrumental in manufacturing all turbines for the 1 gigawatts high long offshore wind project in Taiwan. It is obviously also setting the stage for other opportunities, not only in Taiwan, but also in the rest of Asia. With the increasing share of renewables in the generation mix, we see the need really for further solutions for grid operators to stabilize the grids. The third example what you see here is a synchronous condenser which is a suitable solution to the problem of really stabilizing the grid. And in quarter four, TenneT awarded us with the largest synchronous condenser project worldwide ever. And the project comprises eight SynCons, which will take until the end of 2031 to be complete and running. A good example for the electrification of industrial processes is a project at Shell's chemical park in Moerdijk. Shell wanted to replace all steam driven turbines at the site's largest plants with electric motors. We will now supply the motors and provide the electrical integration. It's a good example to see that you see energy consumption moving from fossil fuels to electricity and really in this area -- in this era of electrification. And with this, I would like to hand it over for details on the numbers to Maria.
Maria Ferraro: Thank you, Christian. Good morning, everyone. It's a pleasure to be here with all of you and I'm very pleased to present our financial results for the full fiscal year and, of course, for Q4 of fiscal year '24. So, in front of you, you see Siemens Energy Group results for the fiscal year. Here, let's start with orders. I mean, the tagline of strong revenue growth and significant margin improvement is visible, but looking at orders first and foremost, we see this is in line with the record order intake of prior year. It also should be noted that in orders, of course, we had anticipated a decline in Siemens Gamesa of quite a substantial amount of just below EUR10 billion, of which the rest of the businesses have compensated for and still have an increase year-over-year. And that really shows some of the potential of our businesses with respect to the demand that we're seeing and it's across the board. Grid Technology plus 34%, Gas Services plus 28% and also Transformation of Industries comes in at 18% order growth year-over-year. Book-to-bill, a very solid 1.46. And, of course, as mentioned already by Christian, we have an order backlog of EUR123 billion of which I can say clearly that's a record, but also what I will demonstrate later is it's not just about the quantity, I always say it's about the quality. And certainly here we can see that that quality continues to improve, which underpins the foundation for our outlook for next year and certainly for the midterm in '28. Revenue EUR34.5 billion, up by 13%, slightly over even our own aspirations in terms of 10% to 12% for the year. Here the growth was clearly guided by Grid Technologies where they had over 32% growth year-over-year. But again, this is across all [indiscernible]. I do want to underline that. Transformation of Industry came in with just over 16% revenue growth year-over-year, Siemens Gamesa over 11% and Gas Services even when we thought it would be flat. Here the team did an outstanding job and was at 1.4%, even slightly above our own expectations. What's also important when it comes to revenue growth is really looking at the mix. And here you see the growth was in new units and service alike. Of course, ensuring that we have the new unit growth, but also the service share, which is you know is very important for our future continuing revenue, profit and cash. Profit before special items, we've returned to profit at 1%. That's at the high end of our range or EUR345 million. Of course, this is driven by on the back of the really strong performance of GS, GT and TI, but also by minimizing or reducing the loss at Siemens Gamesa. And, of course, that shows the improvements of all the other businesses that we're able to generate a profit. Special items, here we see EUR2 billion in special items. This is due to the disposable gains. If you recall, at the very beginning of this year, we took proactive measures to strengthen our balance sheet and of course that had gains related deemed special items and this is specific to the majority of which is related to the portfolio transportation -- transformation, not transportation. Net income came in positive at EUR1.3 billion, again benefiting from some of those gains of approximately EUR2 billion from our strategic portfolio decisions. And last but not least, looking at cash flow, here we see an increase to EUR1.9 billion. This is pretty much doubling an excellent increase versus prior year. And, of course, this is on the back of our profit conversion, increased order intake, and of course customer payments and advance payments alike. And, of course, the higher negative cash outflow that we saw at Siemens Gamesa was more than -- was offset by the increase in the other segments. And when you're looking at the other segments and their contributions, Grid Technologies and Gas Services generated free cash flow of EUR2.2 billion and EUR1.4 billion respectively. TI came right on CCR or cash conversion rate of 1 -- of just over 1 and, of course, we already talked about Siemens Gamesa offsetting that. Now let's take a look at the Q4 performance by business area. Starting with Gas Services. Here we see a solid finish to the year, a strong quarter for GS with orders worth EUR3.6 billion. This is a 40% increase as you can see quarter-over-quarter. This is driven by strong demand globally, particularly in the US and the Middle East and significant growth in service orders. Book to bill was 1.3 and their order backlog, a record for Gas Services came in at EUR45 billion. For Q4, we booked six gas turbines greater than 10 megawatts, five large gas turbines and one industrial gas turbine. The market share for GT in the greater than 10 megawatt area in Q4 was 11%. And for the full fiscal year in terms of gas turbines greater than 10 megawatts, we are sitting very well at 27% or number two. Looking at revenue here, for Gas Services, we see a relatively equal slight increase over the last quarter. Here the service business showed a clear growth of just shy of 6%. We had a slight, just in terms of timing, a slight new units business decline again just due to timing effects, but here at 16.5%. And the full year Gas Services growth again at 1.4%, exceeding their target range, of course, which was originally flat. Profit, strong profit, Q4 profit before special items at EUR141 million. This is a 5.2% margin. And again, it's important we always have this mix issue for our Gas Services business in Q4. But in this particular quarter, of course, we had a legacy item, a charge relating to a legal proceeding. And excluding that charge, we see an underlying strong Q4 margin of 6.6%. For the full year before the special items, we're just over EUR1 billion in profit. The margin is sitting at 9.5%. Again, excluding that legacy item, GS had a very strong 10.5% profit for this year behind them. Now let's take a look at Grid Technologies on the next page, please. Thank you. Here we see orders for the quarter at EUR5.4 billion. This is more than double the prior year quarter. This is driven by higher volume, of course, in grid solution orders in Germany and in the US. And, of course, also significant is the solid progress in order intake that's happening within the project business also within GT. Orders exceeded revenue by a factor of two and order backlog, of course, grew to EUR33 billion, a record for them. And just put that into perspective, just a few years ago, their order intake for the year was just over EUR7 billion. So just to put that into perspective. Revenue here, Q4 revenue grew by just shy of 39% on a comparable basis. Here we see the grid solution revenue nearly twice the level of prior year quarter. Full year GT growth came in at over 32%, in line with the guidance of 32% to 34% and certainly well ahead of our original guidance of 18% to 22%, well done Grid Technologies. Looking at profit, Q4 profit was a margin of 10.2% at EUR277 million. This is the highest quarterly profit of the recent fiscal year for GT. And, of course, this is on the back of strong, disciplined operational performance, higher volume, and of course that margin improvement in the backlog essentially looking at margin expansion. Here, the full year profit margin was at 10.5% which slightly overshot the guidance of 8% to 10%. TI, next looking at TI, Q4 orders showed an over 28% increase with major contribution coming from compression and sustainable energy systems. Book-to-bill ratio of 1.5. And here also a record backlog at EUR8 billion for TI. Q4 revenue very strong, grew by almost 14%, and interestingly grew across all businesses within TI. And this is due to that strong execution of the backlog both in new units and in service. Full year growth for TI, strong at 16.3% and slightly above their guidance of the 14% to 16%. Q4 profit margin at 6.7% or just shy of EUR94 million. Again, on the back of that operational performance, increased volume, higher margin quality from order backlog. Also of note, if you recall, it wasn't so long ago that we were talking about some of the turnaround businesses with compression and steam. Very proud to say and well done on the back of a lot of hard work that we achieved 10% profit margins for those businesses now. Full year profit margin 7.4%, slightly over exceeding the 5.7% guidance range. Again, demonstrating the success of the turnaround plan in TI, well done. Now going to Siemens Gamesa. Another quarter in line with expectations. Q4 orders were moderately down compared to Q4 of last year. Offshore growth was driven by other -- some contracts, but specifically North Sea Hornsea 3. However, of course we did have reductions -- expected reductions in onshore in Q4. This was, of course, related to the temporary suspension. Book-to-bill ratio for the quarter was strong at 1.3. Order backlog continues to be quite high. If you recall, we indicated EUR40 billion, here we're at EUR38 billion and 50%, not to forget, 50% of the backlog is service at just over EUR18 billion. Revenue, Q4 revenue grew by 20%. This is driven predominantly by offshore and the offshore business growth as a result was just over 37%. Onshore declined slightly and service was flat. Full year growth was at 11.1%, smack in the middle of the 10% to 12% guidance range for wind power. Again, the profit was in line with our expectations and the full year loss of EUR1.8 billion as you recall we amended that to say up to the EUR2 billion in losses right in line with our revised guidance in that regard with negative profit. So now, without further ado, let me turn over to Christian to take us through some more insights on delivering our strategy and our mid-term outlook. Christian?
Christian Bruch: Thank you very much, Maria. And as we said at the beginning of the call, we would like to use the opportunity today really also to introduce a little bit more obviously the way forward over the next years to come, but also the market environment in which we're acting and how we execute our strategy. We are in a very, very favorable market environment with electricity and that is driven by several elements. Population growth, rise of living standards, but also the further electrification of industry, mobility. So, you do see a growth in electricity consumption by 2.5% to 3% annually and that's roughly, roughly double what the energy growth is going to be. And just to put it into perspective, we are talking over the next years to come to add every year the electricity consumption of a country like Japan, the fourth largest world economy with 120 million of people to the electricity consumption. And this is really a base case scenario because certain consumers, like for example, data centers, what we all discuss at the moment about, are not really even considered in this growth element and we do see that there's an upside in data centers consumption over the next years to come by 2030 of roughly 1,500 terawatt hours, that's three times the consumption of a country like Germany, the third largest economy in the world. So that shows what substantial growth momentum, what unique situation we have today in the electricity market. And obviously, at the same time, we're looking on a transformation of the whole generation mix and the power generation system, which means that the underlying grids and network has to adapt even faster and to a bigger extent. Coal and oil are going out of service, gas comes, renewable come. And this obviously triggers an unprecedented need for new generation technologies, including what we're seeing at the moment, not everywhere, but in certain countries in nuclear renaissance and also where we want on the turbine and control system side also to participate. It's not on the US, it's UK, it's France, it's Eastern Europe, so there is an opportunity to come. And obviously, you will see it in the mid-term outlook, grid is going to be our fastest-growing business. It is driven by an unprecedented investment into the grid infrastructure. And if you just look on the renewable capacity, it has to rise five times by 2050, 50% of the grid infrastructure in the, say, existing industrialized countries have to be replaced over the next 20 years. And this gives you a feeling for the momentum of the investment and the need for investment, which is coming over the next years. And it also means we have to drive digital solutions to use our existing assets better going forward. That task is enormous and obviously we want to participate in that. We do this all from a leading market position across our businesses and we are excellent positioned to benefit from these market trends. If you look on the Gas Service side, our larger HL frame is the most powerful and most efficient large gas turbine in the market. We capture high growth from the F frames and the SGT-800s, very well positioned and obviously do all this from the perspective also of driving a very strong and successful service business. We are the clear leader in offshore wind, roughly 50% market share with 27 gigawatt installed capacity. We have the third largest fleet in onshore in terms of the service business. Yes, it is a turnaround. Yes, we only made a first step, but step after step that's a base in the market position where we can capture growth going forward. In Grid Technologies, we are the leader in HVDC solutions. That is a very, very fast growing technologies really to create all this connectivity to transport larger volumes of electricity over longer distances. And obviously we have been demonstrating our Blue portfolio. So SF6-free or SF6 gas free switchgear or switching devices, it's a market-leading position. It's a new market which is coming very well positioned there. And if I look on transformation of industry, as it's a little bit more, let's say, different businesses, we see obviously our leading position in industrial steam turbines and compression very successful in '24 in terms of a turnaround and growth. EAD is a strong partner for the decarbonization of the industry and the further electrification and hydrogen for us is an opportunity. It's a forward-going opportunity. It's today not a profitable or commercial business. But also the fact that we got over the last six months, four large contracts for our electrolysers show that we are well positioned also at the end to participate in this opportunity. Let me come to the different business areas and let me start it off with gas. And I want obviously really to underline the headline. We are back in the growth mode. We are growing in an attractive market. 70 gigawatts of gas turbines will be stronger than we anticipated. Data centers can provide an additional upside and gas has emerged today as a cornerstone really in the energy transition. Without new gas fired power plants, we will not be able to secure the release -- the supply of electricity and we cannot facilitate the exit from coal and oil. The market supports also obviously decarbonization technologies like hydrogen injection, like carbon capture and storage as well as governmental programs. So, we will continue also to invest into these products and solutions, including also getting ready for the nuclear renaissance. This already have been in the last years interesting service business for us and we will continue to do so. With this strong market, we decided also to upgrade our own production capacity for large gas turbines by 30% by investing also into our existing infrastructure to capture the growth in this market. This will be extension of existing sites. So, we do it with a very diligent use of capital. And we are very careful at this point in time not to build up overcapacities. There are huge opportunities in the market. We will continue as a management to look into these in terms of calibrating this. But we also all had our experiences in the past. We know that there had been overcapacities in the market. And this is why -- also there we take it step by step. We continue to evaluate is there more to be done, how do we look on the growth rates? A first decision has been taken and obviously we are carefully reviewing the opportunities going forward, which sit there in the market, driven by these different market drivers. An important element in really driving this business forward is the service business. That is the cornerstone obviously of the success of that business area. We have added 200 new gas turbines to the fleet over the last two years. This means we have a young and globally diversified fleet and this will continue with now securing new orders. We must obviously therefore ensure that we have a leading performance in our service business and that is our core focus, which on the one hand means growing the service backlog, driving higher margins, but also continue to build new commercial models in the service business to cater for the needs of our client. The other thing is, and I said it before, we will continue also to work on the decarbonization solutions. This is on the one hand, hydrogen coal-firing capabilities and the gas turbine. And at the same time, it's partnering up also on the carbon capture and storage side. And going forward and you see the numbers on the right-hand side in terms of the business performance, I expect margins to rise in fiscal year '25 to 10% to 12% and then in the midterm towards '28 to the 12% to 14% margin going forward. Let me come to Grid Technologies. And here, the headline is that's the fastest growing business with an attractive profitability. By '26, it will be the largest business of Siemens Energy by revenue if you follow the current trajectory and obviously the market is stronger than we anticipated a year ago and we are investing currently in our ability to grow. You have heard throughout '24 already investment decisions, the revenue has grown by almost 50%. We obviously expect revenue to grow and double most roughly again by fiscal year 2028 and we will be investing and have started to do so EUR1.1 billion over the coming years in the extension of existing factories. You have heard Nuremberg. You have heard Croatia. You have heard the US factory. We communicated India and we continue to do so with really the new factories. We had Austria last year kicked off, so there's a lot of things what we are building up there in terms of really catering for this growth. All in all, we roughly going to increase our capacity on the transformer side by 85 gigawatt ampere. It also means we have to work it off. We are very careful also by the learnings from the past to make sure that we're safeguarding the execution. And we have added more than 3,000 employees to these business areas over the last two years and intend to hire another 6,000 employees, 50% in best cost countries to execute the border backlog successfully. We do this together with partners so to find smart ways to execute the business and it's really all about de-risking the execution of projects. That is a core focus for us. One end, it means people, other end it means factory capacity. The third element is also what I would call industrializing the manufacture of products and solutions, standardizing solutions, doing the same thing over and over again. And you see it, for example, in our solutions, which are like 1.3 gigawatts or 2 gigawatts of solutions in terms of grid connections where we consistently drive similar concepts and design. We also will continue to work on the portfolio and you have seen that in '24 with our -- step out of the trench business. And we intend to shape the portfolio towards high-margin products and solution. We will continue to do so going forward. We expect larger than 20% growth this fiscal year and low double-digit growth to fiscal year 2028 and margin to expand into the low to mid-teens over the same period of time. If it comes to transformation of industry, I really have to say the transformation of industry is on a good way. And the operational turnaround and the operational excellence, what the teams have driven over the past years is really tremendous and really -- I'm very, very happy with what the team has been doing, but it's also about capturing new opportunities in a market which is continuously changing. You have seen that compression and steam turbines have been experienced tailwinds in the market, fast market growth. We obviously also continue to see a strong market going forward. EAD is capturing opportunities from the decarbonization of industries in the different areas. By and large, I can really say the turnaround was well done, but there's more potential on which we work on and you see it in the increasing margins. It's a trajectory step after step also here. And one important element really to drive the profitability of these business areas forward is the service business. And you have seen that in an existing fleet, which is aging in the market, which is relatively big, but also the growth in the new equipment, we will be able really to help customers to focus on efficiency, to reduce emissions and electrify industrial processes. And obviously, all in all, it has been continuously now driving our service business. If I look really on, for example, the compression and steam business, we have been growing the service business in that area by roughly 35% over the last two years. That is largely driven by the reorganization we initiated two years ago, where we put new units and service together, strong focus on service build-out and that is obviously continuing to contribute to the margin improvement in this business area. Green hydrogen is definitely developing slower than we anticipated. And as said, we are happy that on the one side, we can secure the few orders which are in the market, but we also obviously very clear it will take longer to see it really as a commercial business, but we see it as a future opportunity and this is how we work on that going forward. Transformation of industry is also diversifying its business portfolio for the longer term towards decarbonization activities in the industry. And with that, let me come to Siemens Gamesa, which is a stepwise turnaround story where '24 was an important year for us really to calm it down, work through the matters, work it off, analyze the subject and obviously together with customers, start over the years to come to work through. But also going forward benefiting from the continuous growth trends, which is still there in the wind market and especially also what we see in offshore, keep in mind, offshore is also from our perspective a very strong European market on how we look on it. We have the biggest installed fleet in offshore and obviously a large installed fleet in onshore and this will allow us also obviously to contribute really to the turnaround. If you look on the turnaround, I would like to highlight four focus areas which you also see in the center of the slides. The one is really the service business is a key contributor to the turnaround from where we are today, really also to the breakeven target in fiscal year '26, which means we need to maximize the return from the current fleet, fix the quality topics that is really a core priority still obviously and maintain also and improve the reliability of the fleet also that is related to the quality topics and then drive out costs by realizing productivity. And we also see potential in increasing the service share in our business and redesign also the service offerings what we're having. In offshore and there's a big contributor obviously also to the turnaround. It's all about productivity, productivity, productivity. We have seen it obviously over '24 that we could increase the productivity substantially in our existing factories, however, we are not there where we want to be yet and this will obviously continue to industrialize particular our factories and manufacturing with these very large turbines. What definitely is helpful is the high volumes which are coming in offshore which will boost productivity. You have seen also that we have secured several orders also with the last UK offshore auction. They will all contribute to this and that is an important lever. The third one obviously the turnaround in onshore very clear, addressing the quality issues absolutely top priority, reduce the non-conformity costs which are still also in '24 were substantial. You have seen that we restarted the 4x commercial activity. We take it slow on that one. We are discussing with customers. We have good discussion with customers. But as I said also before, you will see revenue in onshore new units only going up very, very slow. We expect also obviously that driving the sheer operational excellence and this also relates, for example, to the integration of certain things of Siemens Gamesa into Siemens Energy to contribute also to the bridge in terms of turning that business around to breakeven. For 2025, we expect a lower revenue and losses of roughly EUR1.3 billion. We remain committed to breakeven in 2026. It's not easy, it's hard work. But we obviously by pulling these four levers we are, let's say, we believe we can do that and return to growth mode, then going forward and see a margin of 3% to 5% in 2028. This is not there obviously where we want to be. Our ambition is a double-digit margin level, but they are delayed obviously because of the quality problems. Let me summarize key -- the key elements really where we are in terms of leveraging really this long rows in electricity and really then to drive the business profitability going forward. First of all, the electricity demand drives the company growth. And that is an important element because obviously we do it across different businesses. And the one thing which is sure, we will need more electricity going forward. It's a fantastic business opportunities. We are in the ERA of electricity I said before. And all our business have with that a substantial business opportunity. Grid Technologies is the fastest growing business. Sustainability in all of this remains a core to our strategy. And obviously, I will talk more about sustainability in the next quarter when we have issued our sustainability report. We are investing for that and we will need to continue to invest. You see our CapEx spend also for 2025 in order to capture the growth opportunities, but we are trying to keep the balance. I want to very clearly highlight this here to avoid running into overcapacities. We do this carefully. There might be here and there additional growth opportunities. We know this and something which we look in carefully. We continue as a management to evaluate this. But as I said, it's now really about keeping this balance in the different market opportunities. And to put this into perspective, I want to highlight also to you on how we allocate our capital going forward in the midterm. First of all, really having the backlog execution, serving our customers is absolutely top priority. The second point is we remain committed obviously to keep a strong balance sheet, that is in our industry really an underlying base. Seeing the good growth momentum in the markets, obviously, if there is, let's say, short payback period driven growth possibilities, we will continue to look on this and it will be a priority for us going forward. The fourth and -- fourth element is obviously the dividend and return to shareholders, you know that the current back guarantees from the government or from the German government actually prevent us of paying dividend at the moment. But as an organization, we committed to pay dividend to the shareholders and this is why we want to exit this guarantee facility as fast as possible. And the fifth element, which is a little lower on the priority list, is really portfolio additions and this includes obviously also research and development. We still do a lot of research and development, but obviously, if you see the priority list very clearly, we have a great portfolio which delivers at the moment great growth. And with this, I would like to hand over to Maria. Thank you.
Maria Ferraro: Thank you, Christian. Thank you very much. It's a perfect segue actually into the next section. And maybe just to reflect a little bit and go back in time to show the journey that we've been on for all of our business areas. And here clearly you can see from fiscal year '22 right to the blue bar in the middle, which is fiscal year '24 and then looking at our outlook for fiscal year '25 and our targets for fiscal year '28, you see that in most cases we've raised expectations and certainly continue to commit to the breakeven of Siemens Gamesa in '26. And you see that in all cases, we are notching upward towards our midterm targets accordingly. And it's on the back of this and this is exactly what I wanted to share with all of you, is an update from the deeper dive that we did into our backlog at last year's Capital Market Day. Of course, you know that it has grown our cap -- our order backlog has grown to the record level of EUR123 billion. But, of course, this is on the back of selectivity and ensuring and you see that in the middle than in each of the areas, business areas, we have continued to notch upward. If you recall, we showed the notch upward in terms of our expansion of our margin and our backlog last year. And in all of the cases, you see an additional percentage point for Gas Services, an additional percentage point for TI, an additional 3 percentage points project margin expansion for Grid Technologies. That really shows the ability for us to see transparently into the future what does that backlog provide for us and that is really the foundation. And also I think very important is to see that we have a stabilization in the backlog of Siemens Gamesa also between fiscal year '23 and '24. Again, I talk a lot about transparency and here it is. It's about ensuring that we know our coverage for revenue by year. And next year, we already have 90% of the revenue in house. Again, our ability then to underpin our outlook for fiscal year '25 and ensure that on the back of the excellent operational execution that our businesses have had last year that that continues into next year. As Christian mentioned, our service share for us is so important and actually that spans for many years, especially with our long-term service program within GS and TI. In certain cases, it spans for many years into the future. And it's important to see that that service share continues to be very high at 48%. But some of the dynamics in the orders as you continue out in future years, based on the phenomenal growth that we expect in GT, for example, it'll create a difference in that service share, but rest assured that that service share underpins the foundation year-over-year into the future for us at Siemens Energy. Looking at the backlog execution plan specifically for Siemens Gamesa, also a bit of an update to show, of course, the onerous backlog, we continue to work through that. If you recall, we had a little bit of a notch upward after the quality issues in the onerous backlog at EUR5 billion. We've executed through a couple billion since. We see approximately EUR3 billion left to go. But certainly, what this shows you is step by step in the two years to come, we're going to continue to dwindle down on that backlog to then again support the breakeven commitment in fiscal year '26. Here, of course, it is something that we always want to talk about and Christian also mentioned it, our commitment to a sound balance sheet. And, of course, that was made possible this year. If you recall, early on, we took proactive measures to strengthen the balance sheet with respect to strategic portfolio decisions. You see that that rendered quite a large amount of cash in this year, again providing that foundational strength for our balance sheet and on the back of the free cash flow from our businesses on top of that and an additional cash than even anticipated, as you can see, we end in a very solid record net cash position for us as a company. And that's not by accident, that is absolutely by design. And as you can see, we remain committed to a net cash position for next year as well. And this is fully incorporated, of course, into our outlook for next year. On the right-hand side, we go through and I just wanted to reemphasize, there's not a lot of change. You see the jump up in cash, of course, from our cash and cash equivalents year-over-year. But then, of course, in terms of our short-term debt and our long-term debt, our provisions for pension, et cetera, relatively stable again getting us to this adjusted net cash of EUR2 billion. So, this actually makes us very proud and a lot of hard work to get there. Of course, looking at the balance sheet a little further, touching upon some of the topics that, of course, we discussed quite extensively last year at the Capital Market Day and Christian underpinned a lot of these messages already. When it comes to free cash flow, we will continue to generate strong free cash flow year-over-year, perhaps we go to the right-hand side of this slide immediately. And here you see this year, of course, with the EUR1.9 billion and up to the EUR1 billion as our commitment in our outlook for next year. Now looking back, of course, we talked about our CapEx already. As mentioned, we are investing in our growth. We also made that clear message last year that this year would absolutely be the peak, if you would, with a large part of that being dedicated still to wind power, of course, to execute on their EUR38 billion backlog that they have and these are the commitments that take us well into the future. But in addition, what we also committed was to ensure that we invest in the growth of our other businesses like Grid Technologies, like Gas Services, and into a lesser extent even in TI, because that's the market momentum that we see and that's exactly in line with the capital allocation policy or thought process that Christian just went through. And then, of course, bringing it back to our net operating working capital. Let me also be very clear here. We have improved on our net operating working capital tremendously since the inception of this company. And on the back of that strong order back order momentum that we have in the backlog, of course, here we see advance payments, we see milestone payments. This all helps because, of course, to execute on EUR123 billion in backlog. We have long lead items and other things that need to be ordered, of course, that then also go on our balance sheet to execute accordingly. What's important to note is that my messages from last Capital Market Day stand true. We see this peaking, of course, with an order backlog and an order entry that was quite record as you know, but then it will stabilize into the future. It was a step up, if you'd like, to 2024. And, of course, we can continue to grow, but not at the level that we've seen in the last 12 to 18 months. So, therefore, we also expect our net operating working capital to level off accordingly again in line with growth, but to level off accordingly with that growth. So have I covered everything? Yes. So here, just to put it all into a summary, I won't spend too much time because we've certainly covered this already. But to go to the right-hand side, our capital allocation guardrails remain in place. Of course, we remain committed to a solid investment grade. This goes back to the strengthening of the balance sheet and the fact that we remain committed to net cash, that all goes without saying. And, of course, you see the progression of our revenue comparable growth right out until our mid-term and also how we fared with the rebound to being a profit generating company this year, next year and into the midterm. Our outlook, putting it all together for fiscal year '25, here very clearly and you see overall for Siemens Energy, here we see growth notch ups across the board within our divisions -- or excuse me, within our business areas to then underpin the growth envisioned of 8% to 10% revenue, comparable growth for fiscal year '25 again going back to the 3% to 5% profit level for us as a company. And then, of course, just to reiterate, in fiscal year '28, we see high single to low double-digit growth, continuing in our revenue, of course, across the businesses and then again underpinning this 10% to 12% growth -- profit, excuse me, in fiscal year '28 accordingly. So with that, Christian, back to you for a wrap up.
Christian Bruch: Yeah, thank you very much, Maria. Thank you for the presentation. I want to keep it very short, just to underline. First of all, the priorities for 2025 have not changed, deliver profitable growth, fix the wind, maintain solid financial foundation. However, what has changed is really the market dynamics. They are more favorable than we anticipated originally. You see the strong electricity growth and then obviously the consequences for all our businesses. For 2024, we have achieved our operational performance as targeted or even better than this and our record order backlog with an improved margin profile provides the base for strong growth going forward. We are continuing to investing now to deliver that growth. And as I said, we have to clear priorities on allocating capital and watch it also carefully to keep the balance between growth, building over capacity and tapping into additional opportunities. We're striving to become as fast as possible to come independent from the German government guarantees. And with this, I'm looking forward really to create sustainable shareholder value for our shareholders. And with this, we come to the question-and-answer. Michael, over to you.
A - Michael Hagmann: [Operator Instructions] If you look at the first two questions, they go to Ajay Patel at Goldman Sachs, Phil Buller at Berenberg, and then Vivek Midha at Citi. So over to you, Ajay.
Ajay Patel: Good morning and thank you for the presentation. My question is around the growth. So, I think over the course of presentation, you talked about a potential for doubling the revenue in Grid Technologies. You're sizably investing in your Gas and Power side of the business. Equally when I look at the wind and the guidance there on revenue and then mar that with an offshore market that is by market commentators talking about growing at 20% per annum, an onshore business more high single-digit, it doesn't necessarily fit with the revenue guidance. It makes me think are you deemphasizing your wind business and focusing more on the Gas and Power business? Are you making that statement this morning? And also what is the implications to CapEx in doing so? When will you be cash flow positive in Wind as a result of that?
Christian Bruch: Maybe I take that and obviously what you see in the growth rate and if you try to do the math is a couple of things. First of all, simply by the onshore ramp down what we're currently seeing, yes, I mean that is obviously de-emphasizing a bit the revenue there and we said we're going to carefully go back into the revenue element of onshore wind. Offshore is more or less also driven by the backlog we have today. But obviously particular on the onshore, it will take a longer time to rebuild growth there. What you have to take into consideration also if you do the math, you have seen this year grid has been growing substantially. So it will let's say grow fast. You see the '25 over 20% and then it will taper off. It will not go on this growth rate forever. So it's not a linear multiplying what you see. On the gas side, as I said, I mean there is lots of discussion about additional potentials, but we look on this very carefully and this is why I'm saying at this point in time this is our planning base. We do not stop to look on new opportunities. We want to participate in growth opportunities, but at the same time, we also have all had learnings in this industry when it was too much capacity in the market and this is what we're trying to balance out and we continue to do so.
Maria Ferraro: Cash, I can take that.
Christian Bruch: Cash, would you want to take?
Maria Ferraro: Yes, of course, yeah. The question was regarding CapEx relation to cash and when do we expect cash or cash flow positive wind business. So certainly we knew and this is exactly what we've discussed is that with wind, we do not see next year again with the high level of investments. And also don't forget we have the lagging cash effect from the provisions that will also impact '25 and '26. If you recall, we actually showed that very clearly last year at the Capital Market Day that the cash outflows will come predominantly in '25, '26 and then taper off. So therefore, we will not be cash positive for wind power within the next couple of years. However, let me also be clear that when it comes to the midterm, all of our businesses, including wind power, will be expected to be cash generating and this is exactly the path upon which we see for the mid-term.
Ajay Patel: Thank you very much.
Michael Hagmann: Thank you, both. So the next question goes to Phil Buller. Phil, please go ahead.
Phil Buller: Hi, good morning. Thanks for the question. Quite a year. It was a very different situation this time last year. So well done on the strong finish. The question I guess is a bit of an expansion on the first one. I'm keen to just try and hear how best we can unpack what is happening in terms of the pricing, the volume, and gross margins in the orders of GT and GS, in particular? It strikes me that there should be pricing and volume in GS as well as GT and I can see that embedded in the GT guide a good degree, but I don't really see it as much in the GS revenue guide. So obviously it's a strong guide regardless. But would you say there is some safety embedded in the divisional guides just to add higher confidence to the group level guide, please? Thanks.
Christian Bruch: Thank you very much, Phil. And one thing also, if you now try to unpack it and also the different messages, one thing you have to be aware also on gas side if you now say the extending capacity, it will take certain time until you see the capacity active then turning into revenue. So obviously there is time gaps between the different statements if you have to sum it up. If you look on GS and GT and we have said it in the last calls that in both areas pricing environment was favorable. I see a bit more on GS side obviously also the inflationary element in terms of also the supply and underlying industry. And in that regard, if you look on the margin development over the years, it's really more about let's say the productivity, the improved margin backlog. And Maria showed it in one of her slides really in the orders which we had secured. And obviously, the other thing is then this continuous kicking in of the service business at one point in time and keep in mind, we kicked off GS in 2020 at 11% market share. So now there's a lot of new units coming in and then obviously going forward what it unfolds is also let's say then the service business to the outer years of the mid-term guidance. So, I would not talk about, how did you say it, safety cushion or no, I think we have a very realistic scenario on this. What I'm not sure about yet is really how fast or how big this gas turbine market particular could be. And on the grid side, it will obviously also very much depend on how other suppliers in the market can extend their capacities where we are dependent, obviously, on also the third-party supplies, infrastructure, execution companies. And this is what we have to see because it's an unprecedented growth. So I think we have taken an ambitious and most realistic look on the future. We are fully committed to that. And I would not call it with cushion or whatever. I would call it realistic.
Phil Buller: Got it. Thank you. Can I just have one very quick follow up on. You've mentioned a few times on the call that state guarantees. It sounds like they're not -- no longer necessary. Can you just explain what the process would be for that support to be removed?
Christian Bruch: Yeah, first of all, they are necessary, but I would hand it over to Maria to answer it.
Maria Ferraro: So, thanks, Phil, for that question. I think we have talked about it a little bit and I do want to perhaps clarify. It's not that it's not necessary. I think, of course, we're happy to have that Bundt coverage, the German counter coverage for our guarantee facility that came in at a very opportune time last year. But you're fully right now, of course, with today and with let's say upgrades that we see in our outlook and in our targets for mid-term. Of course, we stand the message is the same. We want to get off of the Bundt facility as soon as possible. But stepwise, I think it just takes a little bit of time, of course, to ensure that the various steps are in place. I wouldn't say we don't need it, of course, because we are utilizing it. But certainly the discussions and so on, that has changed in the past year and this is a goal that, of course, we are working towards to get off of it as soon as possible.
Phil Buller: Many thanks.
Michael Hagmann: Thank you. The next question goes to Vivek Midha at Citi. So Vivek, over to you.
Vivek Midha: Thank you very much everyone and good morning. My question is in a similar vein to Phil's. On Gas, would you mind giving us more color on how that improvement to your 2028 target breaks down between new units and service? And within that assumption for 2028, how do the new units and service margins compare to say some of the highs you've seen in previous upcycle? Thank you.
Christian Bruch: Yeah, it is -- we targeted to show that a bit on the one slide what you see in the pack. And obviously one key element is also continuous, let's say, productivity measures to improve the margin, but you also have seen in the backlog what is coming through is an improved margin level. So some of it is also working through the backlog, which pushes then the profitability and obviously we also kick in then with certain service contracts in a newer fleet and these are normally tend to be also driving profitability. That is actually the key elements what we are seeing. And obviously, the other thing is all factories are loaded, which is obviously a good situation to be in. And that is also contributing from an, I would call it, operational excellence perspective to the margins. Did I forget a lever?
Maria Ferraro: Just -- maybe just to know. Of course, you never forget a lever, but maybe just to complement further on that. If you recall, Vivek, in the past, I think that's where the question was going in the past. We used to have maybe some toxic projects on the new unit side. Those days in terms of pricing power are over. And that also facilitates some of that margin uplift that you see in our backlog clearly. And then, of course, on top, of course, the uplift that we anticipate in service as the new large gas turbines become service relevant within the next year or two.
Vivek Midha: Thank you very much.
Michael Hagmann: Thanks. The next three questions go to Max Yates of Morgan Stanley, Sebastian Growe at BNP Paribas, and Akash Gupta at JPMorgan. So Max, over to you.
Max Yates: Thank you. Good morning. I just wanted to ask on the order pipeline in the Grid Technologies business because obviously I think you've done much better than suddenly we would have expected on orders, potentially better than you would have expected. And there's obviously quite a few large orders in there. I think you've mentioned kind of orders related to the tenants, wind build out sort of quite often through the last kind of 18 months to two years. So I guess what gives you confidence that we can stay at this kind of EUR20 billion level? Because I guess you're going to need some quite specific, not just the broader thematic to play out, but some of these very large kind of multibillion orders. So where do you see those coming from? And can you just give us a couple of examples that you see in your pipeline? Thank you.
Christian Bruch: Yeah. No, thank you very much. And just also to put some of the large orders into perspective, I mean, you have heard certain names thereof because they were relatively early to actually agree on frame contracts where they call off, which is -- but on the other hand, then revenue really over a very long time to come, right to unfold. And also sometimes order intake because you call off out-of-frame contracts. That is always what you have to in perspective. You heard it relatively often because the European grid operators particular were very early in the phase when they have seen this momentum coming. The confidence comes really from the underlying structure, as I said. I mean, whatever you take, right, electricity is growing. The only question what you're going to have is, okay, how fast it really grows by the balance between conventional generation and renewables. And obviously, this replacement is substantial. What you're going to see over the next years to come is our expectation that the regions move a bit, right. I mean, we have Central Europe tremendously now expanding over the last years. And this is very much also revenue in the books until the early 30s. Now you see the UK coming up with a plan. And, however, the plan, how big it's going to be and how much money going to be spent is going to be big, right? Because they really have with all the additions on the renewable side, they have to extend the grid. And the other thing is, obviously the US, which is coming and this is why we're also building a local transformer factory or extending local factories in the US also to capture that market. And the other thing as a region, what you see in the meantime coming is also the Middle East with strong connections and a strong electricity build out. One thing I would also put -- like to put into perspective when it comes to the order intake. I was talking about the HVDC, which is one big thing. What we showed this quarter was also this SynCons business, which is now the grid stability. So it doesn't increase the capacity, but it stabilizes the grid. So you will see also other products becoming bigger going forward. And that is what gives us the comfort really to be able to sustain the growth momentum in that business. It also means we need to stay on our toes in terms of, hey, what's the next trend coming and what is the next technology build-out.
Max Yates: That's helpful. Thank you.
Michael Hagmann: Thank you. Next question goes to Sebastian Growe. Sebastian, please.
Sebastian Growe: Yeah, hi. Thanks, Michael and hi, Maria. Hi, Christian. Very quickly on the margin trajectory at GT, so you highlighted the better margin quality in the backlog that is apparently most pronounced in this very segment at 3 percentage points higher. So how should we think of the timing of that very margin step up and how it's coming through? And I'm asking the question, wake up for three years between the fiscal '25 guidance and the '28 targets. And maybe if you could also comment on the ramp up of new capacities and how they might impact the margin trajectory in the short term. And yeah, if you would dare to also comment briefly on GT and TI, when it comes to the slope of the margin expansion, that would be much appreciated. Thanks.
Christian Bruch: Yeah, if it comes to this, I would kick the margin expansion over to Maria, but maybe let's just comment on the build out of the factories. We kicked off a certain -- a bunch of factories, as I said, in '24. And normally you would roughly say because a lot of this is existing sites with existing infrastructure. You probably need like two years in terms of getting this factory started up and running. The question will be, okay, what else is needed? So there might be, let's say, obviously additional investments coming also to extend that. But the things we kicked off in '24, I would roughly, roughly say within two years and this is where we obviously also carefully watch what competition is doing and what the global capacities do. Maybe on the trajectory of the margins, Maria.
Maria Ferraro: Of course, would be happy to do so. I think it's a good point. How do we think of the margin expansion over the time, not only for '25, which you see, but also, let's say, the path to '28. With respect to good technologies, which is what you asked for specifically, you see that in line with -- and that's what I meant earlier, even on how our balance sheet is developing. We've had a bit of a step up, let's say, to a new normal. And then you see that notching upward year-over-year, again, firmly getting into the range within 2028. And again also remember what we're booking today in terms of solutions, those are being booked, of course, executed far in the future and we have right now in terms of a duration of projects about an eight-year timeline in certain cases. So I think we have visibility in the margin expansion and we see that generally continuing year-over-year up until of course and underpinning that fiscal year '28 margin target.
Sebastian Growe: And any meaningful comments that you would want to make around the trajectory at GS and PI when it comes to the path and trajectory through '28?
Maria Ferraro: Yeah, actually Sebastian, I think again it's kind of going with the underlying momentum that we have across all of those businesses. It's generally similar. Because, of course, we have think of it from a backlog perspective. I already said I have 90% of the revenue in house already for next year and that continues, of course, with declining degree if you'd like for each of those years. But again it underpins all three of those businesses have -- are notching up and it kind of underpins that progression step by step if you'd like step-wise to get to the fiscal year '28. And I would say maybe a better word for you, is it a steady incline if that is helpful.
Sebastian Growe: It is. Thank you so much.
Michael Hagmann: Thank you. We are running up against time so please stick to one question. So next question goes to Akash Gupta. Akash, please.
Akash Gupta: Yes. Hi and good morning. My one question is on your margin bridge and you are targeting in the medium term and with respect to the current pricing trends that we are seeing in the market. So maybe if you can talk about is your medium-term guidance potentially accounting for any more positive pricing that we might see in the coming years? Or is it based on current level of pricing that you're seeing in the market and the improvement is coming from operating leverage through higher capacity expansion that you are planning in the coming year as well as productivity measures? So just any comment on the margin bridge that do you see any more positive pricing and that is embedded in medium-term '28 guidance or not? Thank you.
Christian Bruch: Yeah. And if I -- thanks, Akash. And first of all, if you talk about pricing, we always have to think about pricing in the light of inflation, also of the underlying supply chain. And in that regard, we do not consider this as a driving force between the margin improvement in the business in the midterm. Obviously, we do see pricing covering inflation and then obviously productivity helping us also on top of that. But there's no additional pricing element or assumption on top beyond, let's say, normal mechanisms in the market.
Akash Gupta: Thank you.
Michael Hagmann: Thank you. The next three questions go to Ben Uglow at Oxcap Analytics, Alex Virgo at Bank of America, and Delphine Brault at ODDO. Ben, please.
Ben Uglow: Okay. Hi, Christian, Maria and Michael, thank you for taking the question. It's really about the kind of competitive dynamics. What is going on, on the ground. If I look at your market share, I mean, 27% isn't bad, but it has sort of been higher in the past. So, should we think about market share? Do you consider it an important KPI? And when you look at your competitors, how are they behaving in general, i.e., is it a very disciplined market or are you seeing sort of outbreaks of price discounting? Just some context on how things look around the world, please.
Christian Bruch: Thanks, Ben, for this question and obviously I understand you refer to Gas with a 27% market share. And as you know, in Gas, you always have to take it in the chunks in terms of what frame you at the end talking about, where are you and how you're positioned. Honestly, for me the key question is not whether we are 25%, 27% or 30%. That's not the key driver. However, I also said when we kicked off the company a 10% market share, you shouldn't play and this is why we obviously picked our battles and this is also what you see very much in our offerings. There are certain areas where we are very strong and there are certain areas where we are really not strong in the gas turbine side. And so I would really take it more or less application by application. And for me it's important that I able to really drive a leading position in a certain market because it gives me the opportunity also in terms of the conditions in the contract to make this risk-reward profile good. That means also if you look across the different portfolio that there are areas where we are not really good today, where we will continue to look into is do we want to change that. But as I said, for me it's more about do we want to play in the market at all, then I want to have a leading position. I'm not stuck on a market share. I'm more looking on risk and reward profile and profitability, but we're also well aware that obviously if your factory is not loaded, it's very difficult to drive really a double-digit decent profitability. In the current frame what we're in, we feel comfortable and this is why we're saying we also -- the capacity extension is driven at the existing sites. So there's potential really to get it relatively effectively done. But in terms of the mechanics, I do see at the moment, let's say, a behaved market. How should I call it in that regard? But this is why -- I also said I'm a bit careful in terms of the extension. All of our peers have announced capacity extensions. This is what the market has to digest. We believe the market is there for these extensions. But at the same time, we're careful of ensuring that we're not running into an overcapacity, but we will continue to watch that.
Ben Uglow: That's very helpful. Thanks a lot.
Michael Hagmann: Thank you. Next question goes to Alex Virgo. Alex, please.
Alex Virgo: Yep, thanks, Michael. Morning, Christian. Maria, thanks for taking the question. I wondered if you could just give us a sense of the margin assumptions in the different businesses within SGRE that underpin that 2026 and 2028 guidance, Maria. I just want to make sure that we're sort of thinking about these things the right way, particularly given, I guess the biggest bucket of that waterfall in the appendix suggests offshore is slightly the largest of the contributors. Thank you.
Maria Ferraro: No, thank you for the question, Alex. And I think it's exactly as Christian described, right, when you look at it, certainly for '26, it's offshore. So, of course, offshore continues to ramp up and grow. I mentioned that also this year with respect to the 11.1% growth in Siemens Gamesa is actually on the back of offshore and I think the team is doing a great job to continue to look for ways to improve the various productivity measures as Christian mentioned and certainly to continue that into -- to ensure the breakeven if you'd like. Then, of course service, of course, service needs to step up. And again I think this is in relation to the known topics with the quality issues, but of course, the underlying service business. And I think Christian also mentioned that earlier with respect to different business models and efficiency factors within service and these are, let's say, another category of measures and, of course, in looking at the onshore recovery and operational excellence in that regard. And I think this is another category if you'd like to underpin that. And it's really relating to the focus that we now have. I mentioned earlier, we have approximately still EUR3 billion of our onerous backlog to be executed. The team has done an outstanding job really looking backward and understanding the quality issues and now getting, let's say, more and more purposeful on how we execute on that backlog to ensure that we also have onshore assisting or contributing to the breakeven. So, it's really in those buckets. Offshore perhaps being the biggest one, as you mentioned, service step up and the onshore recovery. And don't forget one other area is the self-help that Siemens Gamesa is undertaking with really looking at costs and driving down costs wherever possible. And also in relation to some of the integration activities that we've promised. We didn't mention that as much, but certainly, that's underway. We're seeing a lot of, let's say, synergies and synergy potential and we continue to work on that vein under our integration plan.
Alex Virgo: Thank you.
Michael Hagmann: Next question goes Delphine Brault. Daphine, please.
Delphine Brault: Yes, thank you, Michael. Good morning. Thanks for taking my question. Can you provide some color on how do you expect the order intake to develop in H1 and maybe in fiscal year '25 by division looking at what you have in the pipe currently and also your expectations.
Christian Bruch: Maybe -- the answer is in our type of business, probably rather no, right. I mean, it will be bumpy and obviously because the orders in certain areas like our technologies are so large, it's very difficult to time them really quarter-on-quarter. What I can say is my expectation is that wind going to start off low and because it's off shore driven, a lot of these will tend to be really the second half of the year. That is where you would see in distribution over the year and the rest of the businesses I would say we'll have to see really depends on when certain decisions are taken.
Maria Ferraro: Exactly.
Michael Hagmann: Okay, so the next three questions then go to Gael de-Bray at Deutsche Bank, Vlad Sergievskiy at Barclays, and Will Mackie at Kepler Cheuvreux. Gael, please.
Gael de-Bray: Thanks, Michael. Good morning, everyone. Thanks for taking the questions. I'm sorry I got disconnected for a few minutes. So I hope you haven't been asked these questions about Gamesa already. But firstly, why have there been no improvement in the backlog project margins for Gamesa in 2024? I mean, given the ongoing ramp down of the legacy on Eros projects and still around Gamesa, what are the key assumptions supporting the group's free cash flow guidance of up to EUR1 billion for 2025? I mean, what do you see specifically for Gamesa? What do you see in terms of book to bill and cash usage on the existing provisions? Thank you.
Maria Ferraro: Sure. I'll take the first one specifically regarding the backlog. I think look it's actually positive progress in terms of -- if you look at the mix we always said. And actually I mentioned it already that the onshore, the owners' contracts actually had a bump up again after the quality issues. And I think we have -- it is remained flat despite significant progress in the execution of the various projects. I think the EUR3 billion that's left, it really represents a very small piece of the overall backlog, Gael. I think that's also something important to remember. It's around, I don't know, 8% to 10% or 8%, of course, and this -- the rest is more heavily determined by offshore and service. And almost in equal parts, if you look at the overall backlog for Siemens Gamesa, half of it is service. We did not book any additional orders in onshore, so that's a fact given the sales decline and don't forget we also said at the beginning with this transitional year for offshore that we had some of the orders relating to older frame contracts still dwindling in, in terms of backlog and that also would have had an impact. So again to say there was no progress, I think coming off of the back of where we started, there has been progress and a stabilization is the word that I would characterize.
Michael Hagmann: Cool. Next question then goes to…
Gael de-Bray: Sorry, what about the cash dynamic?
Maria Ferraro: The cash dynamic. Yes, you know what, that question was posed, but let me reiterate. And the question that was posed earlier is when and if we do expect Siemens Gamesa to be cash generating. And what I said is clearly and this is what we said at the Capital Market Day last year, Gael, and that still prevails, that we see '25 peaking cash and CapEx. Also, if we look at some of the corrective measures that we need in terms of the provision that was booked, the cash outs would be quite prominent in '25 and '26. So certainly within the next two years, we do not see wind power being cash positive. But let me remain very clear that it must be cash generating and certainly is assumed to be in the mid-term.
Gael de-Bray: So for 2025 specifically, it looks like the pre-tax free cash flow could be as negative as it was in 2024 roughly?
Maria Ferraro: No, so certainly not. So there will be progression there. So, it's not as negative as last year, of course, as we work through the topics like we just mentioned, but it will continue to be negative.
Michael Hagmann: Thank you very much. Okay, in the interest of time, let's really stick to one question because we have four more people wanting to ask questions. Vlad, please.
Vlad Sergievskiy: Yes, good morning. Thanks very much for the opportunity. Obviously excellent and extended outlook for grid and gas supportive ambitious targets for '28. My question would be on the visibility on the wind targets actually. How much visibility do you have on wind performance in '28? What proportion of 2028 revenue is already in the backlog for wind? Is the range of outcomes for wind margins four years from now is really as narrow as 3% [Technical Difficulty] and 5% at the top end, given obviously the range of uncertainties we are facing with state of environmental regulation in the US and China. So, basically the question in a sense is '28 target for wind is more an indication of where you want to be or an indication of a full range of outcomes?
Christian Bruch: Yeah, thanks, Vlad for this question. And obviously I would also differentiate there between the business we have more on the hands and no, which is offshore and service and the little bit more where we have to see on how this is going to develop this onshore. But onshore is revenue wise not contributing so big time in '28 because keep in mind with the volume product, the 5x until we then really return into revenue, it's going to take some time and the ramp up will not be there. So visibility and offshore is good. I mean, obviously, I don't know the percentages from the top of my head, but I mean the current backlog unfolds until '28. That's roughly where we are and we obviously see or have the pre-discussions then on the all the projects in '28, '29, 2030 revenue, but this also means it's a pretty progressed discussions, which means if the market develops as we all expect and as we do our today's discussion, there is a base there on really being able to define this margin level. Definitely I think it's a difference if you turn around the business there. I don't disagree compared to a straightforward running gas service business. But still I think there is a base for that including also the service business. Keep in mind, service business, we know that and onshore also the biggest contributing part at this point in time. And there it will all depend on are we able really to fix the quality problems, reliability and everything and get the cost out in place. A lot of self-help as Maria has said. All the other things in terms of hey, China, what's going to happen here? Other competitors. I think it's actually more really '28 in the rafter where we have to look into. But as I said, it will be largely driven by our ability to drive productivity in offshore and service profitability going forward.
Vlad Sergievskiy: Excellent. Thanks so much.
Michael Hagmann: Thank you. As I said, we are running up against the hour. So we try to squeeze in the last three questions. That would be Will Mackie, Supriya Subramanian and Sean McLoughlin. William Mackie, please.
Christian Bruch: We don't hear you.
Michael Hagmann: I think the line was open for Supriya.
Will Mackie: Hello?
Michael Hagmann: Yeah, now we can hear you. Hi, Will.
Will Mackie: Well, hi. Good morning. Thanks for squeezing me in. Glad we sorted that. Yeah. My question relates to the capacity expansion plans and just framing what you've described, could you just put a frame around how you describe the 30% increase in capacity at Gas Service in relation to your large turbine capacity and the trajectory for the increased output? And again coming to GT, just to frame what 85 gigawatt amps means in terms of an increase in capacity and how quickly that could be reached as you open up and expand these four to six factories you've invested in.
Christian Bruch: Yeah, thanks Will for raising the question because I think it's important. One thing to clarify, the 30% increase relates to the large gas turbine frame, right? I mean that is really particular around the HL and F units, right. So that is the portion which we're extending that is not relating to all the mid sized gas turbine. It's really the large gas turbine frame. So it's only a portion of the production capacity within GS. But it's obviously very high in demand at the moment. On GT side that roughly, if I have it right from the top of my head, represents around a 30% increase of transformer capacity, roughly, roughly. This is what we're talking about. And this is also what is needed to execute really on the backlog to ensure that we can deliver. As I said, by and large, you would say once you kick off a project, take about a good two years to really have it up in operation.
Michael Hagmann: Thank you. So next question goes to Supriya, please.
Supriya Subramanian: Yeah, hello. Am I audible?
Michael Hagmann: We can hear you.
Supriya Subramanian: Yes, thank you. Thank you for squeezing me in. Just a quick question from my end. I wanted to check if you have any comments or insights on potential impact of US tariffs especially for the gas services and good tech business. Thank you.
Christian Bruch: Yeah, thank you very much. Obviously, we all have been also before the election was clear looking into that. For me the key point is are we different than others, right, in our different businesses. And there you have to keep in mind that we are a very local company in the US with 13,000 employees and 11 factories. We're also obviously extending capacity on GT side. GS is very much also for us service and new units, high-end business. And keep in mind, we also for example have our blade and vane factory in the US. So I have not really the last take on this tariffs. We will have to look on it as we move along. But at this point in time, I'm not yet seeing something fundamental, but it's really where let's see what's coming. But for me, as I said in comparison to what competition is doing, we all have certain parts which we do locally and certain parts which we import. And this is where we have to see the balance. So at this point, a bit too early, but also want to underline we obviously have for a reason a good local footprint.
Supriya Subramanian: Okay, fair enough. Thank you. Thank you very much.
Michael Hagmann: Right. So the last question before I hand back to Christian for closing remarks goes to Sean McLoughlin. Sean, please.
Sean McLoughlin: Good morning. Thank you for squeezing me in. Just on Gamesa, as you exit the year on a very steady EUR450 million-ish loss per quarter, I mean how should we think about the cadence through 2025 and what is that related to? Also maybe just an update on when you plan to launch the 5x turbine. Thank you.
Christian Bruch: Maria, you want you to take the cadence. I will briefly talk about the 5x. I mean this is where we said obviously within fiscal year '25. I would obviously also want to see there certain tests being completed. I mean, they're on the build-up. They need a runtime. So I would rather expect look to the second half of the year than the first half. But it's also very clearly where we would say we will not rush it, right. This is where I think it's more about step after step after step. That's a current planning at the moment. It will depend also on, as I said now, going through this test, ticking off this revised designs and this is where we're working. But maybe on the cadence…
Maria Ferraro: Yeah. With respect -- thank you Sean for the question and with respect to the cadence and how should you expect, I mean ending the year at the minus 450 and how does that look for the next year? So, of course, you see a step up, right? I mean, we are reducing the loss at Siemens Gamesa and this improves essentially rather linearly in fiscal year '25 except, of course, as we continue in terms of production and the productivity. Of course, then you should see the progress as we step up into fiscal year '26. And again just to be clear, on fiscal year '26, it would be that the year in its entirety is at the breakeven that is in our commitment. So again I wouldn't -- because we talked about it also about the linear year-over-year and can you just do the rule of thumb? It really is progressing quarter by quarter. But we do have our structural caution, reduction initiatives in place and continue to look at that operational excellence. And, of course, don't get me wrong, I mean, we need to continue to get through that onshore owners backlog and that would be lower, of course, as we make our way through '25 and then tail end into '26.
Michael Hagmann: Thank you. That ends the Q&A and I hand back to Christian.
Christian Bruch: Yeah. And I have the unpleasant task to once again wish all of you, in case we don't see, a Merry Christmas already again. Time flies. Time has been flying over '24. Thanks very much for your interest in Siemens Energy as a company and we look forward to really welcome you to the next quarterly call. Stay healthy. See you soon. And in case we don't see, Merry Christmas. Thank you very much.
Michael Hagmann: Thanks, everyone.
Maria Ferraro: Take care.
Operator: Ladies and gentlemen, the conference has now concluded and you may disconnect. Thank you for joining and have a pleasant day. Goodbye.